MichaelTonroe: Hello and welcome to our Quarter Three business update. I'm Mike Tonroe, Chief Financial Officer Genetic Technologies. I'm also your house and moderator. Thank you for taking the time to join us today. There will be a presentation with a focus on our quarter three results ending 31st of March 2022, and our plans for the next six months, followed by a Q and A session. . You can use this function throughout the webcast over the next 40 minutes or so. Today, we're pleased to have with us Dr. George Muchnicki, our Non-Executive Director and Medical Advisor. And our CEO, Simon Morriss.  Simon was appointed to CEO in February 21, 2021 and brings over 20 years of experience within the pharmaceutical, healthcare, and FMCG industries having held senior executive positions at Sanofi and Blackballs. Simon has been critical in leaning commercialization across the pharmaceutical and healthcare industries and understands the unique pressures and opportunities. He has led companies through strategic adaptation to execution. And it's driving commercial commercialization strategy and innovation across the business. I will now hand over to Simon for presentation. Thanks Simon
Simon Morriss: Thanks, Mike, and welcome to everyone who is on the line. We can see quite a great list of attendees. I thank everybody from Australia who has gotten up early to join us this morning, and I thank everybody from the U.S. who has joined us at the end of their day to hear a business update, and the progress that we're making as part of their commercialization journey. Over the next 15 to 20 minutes, I'm going to take you through a very quick update and then we'll allow some time for some Q&A. We have had some email in this part of the link prior to this, and I'm sure that we will get some more during the course of the presentation as well.  I'm also very grateful for some time that we were able to spend one on one with some of our investors over the course of the last month which really actually helped us shape some of the changes in this presentation to actually articulate some of the messaging better. So, I'm very grateful for some of those investors who have spent time with us shaping this messaging to update this presentation for everybody. Hope you enjoy it and we look forward to sharing our results with you. Just wanted to take a moment to just acknowledge the forward-looking statements and everything that is contained within this presentation.  We should have this available on our website over the course of the next 24 hours or so. So, if you wanted to download a copy of that, it should be available on our website and we will have that uploaded onto ISX portal over the course of the next 24 hours or so. In this overview today, I want to take you through our vision and values as a brand and for those that are new to the conversation was to take you through what we do, how markets and our global presence than the expansion to have 40 countries. What key operating insights and the result of a year-to-date much versus last year and the lightest quarter, how market opportunity in the size of the prize, the portfolio and the innovation and the channels in the division.  So, I'm going to keep it really up and taught on those particular areas for our brands, AC Day-night and genotype. At Gene type vision is about unlocking personalized, preventative healthcare into that transforming the conversation from a one size fits all approach to a truly personalized, predictive health for his assessment, where if individual has information that dine-ins to manage their risk. The backslide between two years of experience with that doctors and scientists, annette technicians for serious disease. And we're impairing physicians to improve the health outcomes of people around the world and creating a new era of personalized medicine.  Our technology is patented, it integrates Genetic, familial, and clinical risk factors into actionable clinical insights for physicians and individuals to be able to take control of their health. As you can see below, there is a series of patents that have been granted all around the world that acknowledges the work that our scientific team, our medical team, and our technicians have developed over the last 20 years to get us to where we are today and the exciting suite of risk tests that we've just launched earlier this year with more to follow. Our brand values are an unequaled experience and leveraging the experience of our scientific and medical team and expanding that portfolio into serious diseases. Leading integrated technology.  As I mentioned before, it's a proprietary technology integrating genomic and clinic risk factors to deliver complete health assessments to have a really actionable impact on patients and physicians, and the conversations around predictive health. Our pursuit of relentless innovation, accelerating the transformation of a personalized preventative health care model founded in screening, and setting new standards. As I mentioned below, if there is one thing to take away from this slide, it's that the  polygenic risk score is a platform. It's a proprietary risk stratification platform developed over the last decade, integrating clinical and genetic risk factors into truly actionable outcomes for physicians and individuals. Our global footprint, we have 54 employees worldwide.  We're in 40 countries. We have 27 patents, none of which are pending. We have 14 different test categories now, and we have 51 different tests, and we have 12  laboratories around the world. And that continues to expand into the different types of testing that we built -- bring on. Some key operating insights, which is really exciting for us as it seems and the milestones that the team are achieving. So, for year-to-date, March 2022, period ending 31 March, we've achieved revenues of A$5.6 million, that's 475% up on the $781 000 of the prior year. With a cash balance of $11.3 million, which reflects a 21-month runway to execute the plan that we're talking about here today, and that excludes the $1.4 million R&D taxing tint, which was actually paid on the 2nd of April, a couple of days after this particular reporting period.  Gross margin is around $2.9 million, and yielded at about 52.1%. So, we are starting to build the momentum of the commercialization that we said we were going to do as part of our recent updates, and it's very exciting for the team to see these milestones start to come to life. Our focus is distinct and clear. As a team we have six key focus areas. Number 1. Is to commercialize the GeneType suite of multi-risk tests. We have just launched six, as many of you know, we've got three more under development in the final stages which will be released subject to regulatory approval worldwide. We're focusing on the easy DNA brand.  It's about the brand refresh, and I'll show some of that imagery in a moment in a couple of slides time. And it's about improving the digital experience, new tests, new channels, and new markets. So, they're the two biggest focuses. The third is about demonstrating clinical validity and clinical utility of the Genetop suite of tests. This is a really cape pace for scientific team and medical team. And I'll see our advisors who actually helped us with the articles and the manuscripts that proved clinical validity and utility of these tests. It's about bolstering the commercial bias to the APEX that we have and making sure that it's building the brand and building the awareness of the products API to drive adoption faster.  Talent and capability acquisition, we're in the final stages of selection process for laid Vice President of Business Development in the United States. So, we're hoping to data making announcements to appoint someone quite soon in that particular role. And with that, the next-generation of innovations and anyone who wants to know a little bit more about the future innovation of the organization. And we will hand to doctor George at the conclusion of this presentation as part of the Q&A because he has some really exciting developments that we're working on in the background that will then become part of the core strategy going forward.  As I said before, it's about marketing performance and building the awareness of the brand and than building the adoption of the brand into clinics and into the physician’s clinical workflow. As you can see here, some of the key metrics over the last quarter about brand impressions, clicks. on social media and social media engagement and website visits. And people really starting to engage heavily with us and our brand who we can start to then  messaging and talking to. That's starting to really, really pick up and show significant growth over the prior quarter there. So, this is a March ending 31 March quarter, January, February, and March based on all the activities, all the  that you will have seen out in the marketplace.  And here is a snippet of couple of those materials that you will have seen if you've engaged with the brand, or with the website, or with our socials, whether it'd be on Facebook or Instagram, or Linkedin from a business perspective, here are some of the  and some of the assets that we've been posting out there. And I encourage you to start to engage with us on those social media platforms and continue to share the message about personalized predictive health because we're excited by it all.  brand, which is actually the second of the key focus areas for us is about igniting growth.  Brand refreshes number 1, we're looking at the portfolio and we're looking at the website, the user experience, the way we target messaging, the way we improve the user experience and the engagement there. Then we improve the late-generation. We've already started this part of Phase 2 now, and we're looking at the -- why we put at Google AdWords, our SEO, our SCM. And that's already started and we've made some great inroads in that, and we're starting to reap the benefits and March was a strong result for us in the previous quarter of our results.  And the new sales channels, we're just in the final stages of Amazon targeting B2B segments and also new markets. I just wanted to get back a moment there just with regards to the last quarter results on one of the slides earlier, is that the period ending for the quarter for EasyDNA in volume was up 15.2% and in value was up 9.9%. So, we're excited by the baseline growth quarter-on-quarter that that business is starting to deliver and contribute to us as an organization. Again, here's some of the social media tiles as part of the brand refresh, as part of the brand evolution, as part of the new way we got to take this to market that you'll start to see coming through on some of the social channels.  And you can see that there's a big focus on paternity, a big focus on prenatal, a big focus on even Pet Health, a big part of the family, and we have a really exciting strategy for the pet generation side of our business. Key Geographies and Collaborators. As I mentioned earlier and in previous presentations, United States remains a very, very large market for us, for not only the GeneType brand, but for the EasyDNA brand. The UK and Europe is strong for the EasyDNA brand, and we're embarking on the launch plans now at the moment for our GeneType multi-test up in that Northern Hemisphere Europe and European -- and UK markets now.  Asia, Southeast Asia, and India remain really strong key markets for us to explore. At the moment we're expanding our EasyDNA brand up into India, and then starting to look a bit further across into the Emirates region there, and obviously Australia and New Zealand were way  here and our lumbar tree here. Very, very cape. And on the bottom, there we still really very grateful for the partners that we have with Memorial Sloan Kettering with The Melbourne University, we have IBX via Jane. The wonderful collaboration with Washington Sate University that George will talk about with that collaboration with professor Colbert, and expanding into ethnicities in some of serious disease as well, University of Cambridge and TGen.  So, we thank them for their contributions and we have some new emerging partners coming over the next quarter that will be excited to be able to update you all on in the coming updates. The market size for us is wonderful and huge. We've got into particular areas here. One is in predictive Genomics in the light blue calla. And the second is in the direct-to-consumer, which is in the dark blue color. As you can see, those two combined have an opportunity for full cost growth of about $2.8 billion over the course of the next few years.  We have about $1.3 billion in predictive genomics and $1.4 million the direct-to-consumer genomics. So, the position of both of those brands, the position of our strategy, and the position that go a market for both of these particular brands is strong and the prospects of growth for us to seize that growth are very, very high. So, we're excited by all of those opportunities that exist. Our pathways to market remained distinct as well. We have three, we have a direct-to-consumer testing market where we focus heavily on the EasyDNA brand, we focus on paternity, ancestry, gut microbiome, and non-medical related genomics tests. On the other end, we have the medical business to business where we focus heavily on the physicians, the insurers, the payer models, the specialists, and the allied health.  And we focus heavily on our GeneType suite of tests in this particular area. And this is where we can combine that go-to-market strategy with reimbursable tests. For example, our breast cancer test with the BRCA test, which is reimbursable, our colorectal cancer test with the Lynch syndrome test, and we can really have the most comprehensive risk assessment tests out there with those physicians and with those specialists and can really tap into some of the reimbursable opportunities that exist. In the center there is the consumer-initiated testing model.  We focus heavily on those aspects of a GeneType suite of tests and then multi-risk testing there where they still need to have some medical supervision for any high-risk results that come back to a patient, but it actually doesn't qualify for the reimbursement, that's a pure out-of-pocket model that sits in the middle. So adverse channels are deliberate and distinct and nicely defined. The pathways to market, as I mentioned, and here is a list of some of the tests that we focus on during the course of those three different areas.  As I mentioned, the direct-to-consumer, we have ancestry, paternity, most of the health and well-being type of test, pharmacogenetics, animal drug testing as well, especially for employees who want to manage their teams and their staff and different . A consumer-initiated testing, which is a GeneType suite of tests and our risk test that we've just launched. And then in the healthcare professional B2B, not only do we partner up with our GeneType suite of tests, but we partner that with the reimbursable tests to make the most comprehensive risk assessments out there on the market with the Germline suite of tests as well. Our innovation, I mentioned earlier how multi-risk test, which was launched, phase 1 is launched to physicians and we having some fantastic adoption from some leading cardiologists, leading obstetrics and gynecology women's health clinics as well, where these conversations and the adoption of these tests are met with a wonderful level of excitement of going from treatment of disease to prevention of disease.  But now screening of disease, which actually creates that truly actionable outcomes for patients to be able to take control of their health. As I mentioned, phase 2 with melanoma, pancreatic cancer, and atrial fibrillation. That's still in the final stages of development. We're very, very close and we will submit those to the regulators for approval as soon as they are available. And we're aiming to have those out in the second half of this calendar year. So, we're very excited. Again, what's exciting about this is that it's -- once the tests have been launched, it's the same collection device, it's a series of questions, and in the reports will come out from the one collection sample.  So, we'll add that to the suite of nine tests that will be available by the end of this year on this particular panel. The divisions, and I know George will talk about this a little bit more as well on some of them, and in the dark blue we have our existing divisions about oncology. C ardiovascular disease, serious disease with COVID-19, and metabolic diseases with diabetes and our lifestyle area and wellness here with ancestry microbiome as part of EasyDNA. The three areas that we're really building up as part of the innovation and as part of the next-generation of divisions that we're adding to the business is pharmacogenomics and the Taliaz in mental health, the germline testing with BRCA and Lynch and other germline tests that will support other testing we've got on the multi-test to make it the most comprehensive risk-assessment test on the market. And then carrier testing, UIPT testing, reproductive, and a number of other areas there that George will talk about as part of his area in the Q&A section in a couple of moments time.  This is just a small timeline here. We've launched the breast cancer, colorectal cancer, we've launched the COVID risk test and with our partners, with IBX and with Vitagene and 1health, and we've launched the first five to physicians and healthcare professionals in quarter one this year of the first lot of six tests there, and then we're in the final stage of development of the Phase 2 part of the test which is the next three tests. And as soon as we get regulatory approval, we'll announce that to the team coming through.  Then what we'll do in the next update is we'll start to stage some of the pipeline developments of some of the other tests as part of what we'll talk about supporting those other three divisions which we just mentioned on the previous slide. These three charts simply depict the benefits of early detection and the screening in breast cancer, colorectal cancer, and in heart disease. The GeneType test here, they detect patients that are actual risk of serious disease 10 to 15 years earlier. And that is currently possible power some of the screening .  For example, colorectal cancer. Normal screening starts at 50, we can stop this at 35. That's why this is so important, the start to introduce this screening as part of the normal JP clinical workflow as soon as possible for early detection leads to some us better outcomes for a particular patient. And again, if you wanted to know any more about the medical side of this or the scientific side of this, please feel free. We have Dr. George here with me in the room in the boardroom as part of the Q and A and he would be more than happy to be able to share insights around the early adoption and the preventative approach to screening and implementing these tests.  Just an update on our patent that we've been granted for the COVID risk test and the launch of this available via our partner in the United States,  website  and with IBX, we're in the middle of the moment of just presenting this to a number of enterprise partners with regards to launching this as part of their own staff and employee wellness programs. So, we'll hopefully be in a position to update you very soon.  What we've got is actually one of their partners in Boston, in the United States are doing some health economic budget impact modeling for us on some other serious diseases had on things like at breast cancer and colorectal cancer. And looking at the opportunity for that. What's also come to light as part of these conversations is that I highlighted that are comebacks United employee that becomes hospitalized. I costing an employee around $56 thousand said the investment of a $175 as an enterprise partner to predict this stuff is a very, very small valuable investment that understanding those patients that are potentially harvest.  And yesterday, I even yesterday, we just heard at the same study in another wave of kind of it's actually starting to. Blink across the United States. Unlike a strategy where we have about 95% to double-deck Snyder, the vaccination rights. You still hovering between 5565% in the United States. So, they are still a high lumber of people in the United sites that are at risk of serious disease if they were to contract covid with Dave, a variant that Nivea. And to know their individual risk its a small price to pay into the able to understand that. Just a small snapshot of some of the achievements are moving focus more heavily on the growth that we're seeing in the easy DNI platform quarter-on-quarter and the expansion of that offers us for our other tests going forward.  Our continued focus on R&D and collaboration of the innovation. The African-American breast cancer research collaboration with Physicode, which is very exciting for us. The presentation that we gave at the end of last year, the San Antonio Breast Cancer Symposium was fantastic for our team and Dr. Eric or in Houston presented them. american Academy friend of aging, the iframe conferences up there we're also really great for us to attend and learn more about large independent doctor networks and learn more about concierge medicine over there and the opportunities that exist for those tests and for our Genetop tests. And this has helped study, which is very important study for us, which will help us become part of the leverage to become part of the guidelines in medicine in the United States. So, there's some really important places there.  And the new Multisets path by the launch, we've got the robust patent portfolio, as I mentioned, 17 granted, nine pending for us here. Our focus over the next three months is around a series of manuscripts and peer-reviewed publications on every disease that seats onto the multi-tests at the moment to get the clinical validity, clinical utility for physician adoption worldwide, and solid balance sheet that led $13.5 million cash balance 21 -- 22 months run way inclusive of the R&D tax grant that we've been given.  In summary, I just want to reiterate the key focus areas for us as an organization, for us as a team. Commercialization of that GeneType suite of multi-test is critical. EasyDNA growth and continued growth of the tests, the channels, the markets, and the brand refresh is critical for us. Demonstration of clinical validity and utility of the GeneType suite of risk tests of the Phase I and Phase II, and continuing to develop is also really important. I'm making sure that when we spin their optics that it's about building the brand, building revenue generating models, and focusing on commercial bias to that optics. I'm finalizing the talent acquisition of our team, and then really looking at that next-generation of innovation for us as an organization.  Critical areas for us, focused for us, everybody is aligned on that focus for us to make sure that we deliver on -- today, and then we set us up for a very, very prosperous future with the next-generation of innovation. And with that, I might actually hand back to Mike, and just to see if there's any questions that have come through. We have a large list of people that have joined, and I thank, again, everybody who's joined the call today. It looks like we've got a great list there, so thank you. I might hand back to you, Mike. What I'll do while we do -- flip back there, I might then invite George to jump into the screen with me, so if there are any questions that I will flip them over to George as well. Thanks. Mike?
A - MichaelTonroe: Thank you. Simon. Simon said, if anyone has any questions, please feel free to come them in secure and a kind of for us. I'll start off with some question this we've received by amount. So, this is for George. George, what is the next-generation of innovation for the company that you feel?
George Muchnik: Thanks, Mike, and thank you, Simon for the very interesting and exciting presentation. I've been working with Genetic Technologies now for over three years. And what I'm seeing is the integration of guideline driven tests with our own proprietary technology. And what I like about this is that, it's the largest growing sector in medicine today, which is  testing and non-invasive prenatal testing. And this is an area which allows us to offer information not only about the well-being of the child's soon to be bored. We can also integrate information about the parents, potential health issues in the near future. So, we're able to provide guidelines both for the unborn and the existing and it's from cradle to grave. So, for me this is a clinician. As someone who practice after the event medicine for many is I'm very excited to be part of it, preventative health network.
MichaelTonroe: Thank you, George. This question is for Simon. Simon, could you tell us a little bit about the budget impact model being prepared in the U.S. and how this will drive growth and revenue?
Simon Morriss: Thanks Mike. So, we're really excited to partner with a company in Boston in the United States, who specialize in budget impact models for -- not only for insurers, but for employer groups, the unions representing individuals’ interests. The budget impact model's being prepared right here right now, which is probably not far off being ready for us to roll out. Is specifically focusing on, in this instance, serious disease for breast cancer. This identifies from a , not from a manufacturer app. And identifies how we would be able to then stratify the population of not only a union group, an insurers group, or an employers’ group, and the budget opportunity that exists for protecting their stuff, especially for those companies that self-insure themselves in the United States.  The headline is that with budget impact model that we've been able to identify an addressable market of potentially 47 million patients to screen over the coming years as part of this. Now, that may not mean we're going to go and chase every one of those right here, right now. Our target will be 10 to 15 employer groups, insurers, and payer groups to be able to take this model to them and then demonstrate its utility with them, and that will drive revenue, it will drive growth, it will drive early detection, and it will drive disease prevention, and it will reduce mortality and morbidity in -- specifically in breast cancer. So that's where we go in effect-based health economic model, budget impact model approach and working back from that all the way through. It's a really, really exciting structured piece of work for us as an organization and we're looking forward to that, then rolling on to the other diseases that we have as part of the multi-test. So yeah, really, really important piece of work that's being done by the team at the moment.
MichaelTonroe: Thanks, Simon. My next question is for George. In the presentation, you outlined a -- Simon outlined a U.S. breast cancer collaborative study with Professor Colditz. Could you provide insight into what this study may provide for the company and the importance of extending ethnicities.
George Muchnik: Thanks, Mike. The problem with genetics is that most of the data, especially the early data, was based on Caucasian studies, and that created a big issue for us because we don't want to leave anyone behind. So, we've put a lot of energy, a lot of time, and money into developing products for non-Caucasian as well as Caucasian populations. And one of the these, of course, is the African population, and they have particularly challenging genetic makeup. And it wasn't satisfactory to simply rely on the data that we were accessing through the UK biobanks, we had to create our own proprietary version of these tests, and more importantly, we had to test them on a population, and -- which was already documented from a risk perspective and disease development perspective.  And Professor Kladis at Washington Sate University is a -- is in a unique position to offer us the ability to validate our tests for the African population in the United States. And this really opens up the door for our philosophy, and that is that all populations need to be tested and validated. And of course, we're leading with the biggest population data banks that we have, which is Caucasian, but you can see that close behind we'll be offering meaningful, powerful, accurate tests for the African populations, as well as Asian populations, and Indian populations. And Simon also mentioned foreign to the Middle East, in other words, we'll be offering products for all populations, and this is the position that we've pursued with vigor, and now it's coming back to reward us.
MichaelTonroe: Thank you, Joseph. Question from one of our attendees. Congratulations on last milestones. When will the Prakhar and Lynch test space available for commercial release? Or are they already?
Simon Morriss: Yes. I think. Thank you. Deliver us the christian. Appreciate that. There's two parts. The answer they we can offer brca and Lynch and reflects AC GeneType tests without this that exists on the market already. That's already part of what we can do and we can offer that. So as physician can order our bracket test and they can do out tests simultaneously. For example, if somebody comes back as positive for BRCA than the treatment protocol, there we'd be different and our PRS test would not add any incremental venue to that pace of diagnosis. If a patient becomes a negative, and George can correct me if I get any of these technically wrong. If they're negative for BRCA, there is still a very, very high chance that someone could get or could be at high-risk patient for breast cancer based on the clinical rather Genetic factors there. So that becomes available right here, right now.  So, the combination of those two are available at their full physicians today, able to order those. We will have the ability to be able to do that as you now, Ryan lab in the very near future as well. So, we will be able to do in one collection device in Australia, and then we're also working with our laboratory partners in the United States to be able to do that right here, right now. So as a patient who wants to understand their own risk around germline and they pull. Genetic risk in combination, that opportunity is available via their physicians right here, right now, the evolution will be when we'd be able to do those tests, the  here ourselves in the near future. Did you want to add anything to that, George?
George Muchnik: I would like to add a few things to that, and that is that we're talking about two different types of diseases. One is where there's a family history and there is inheritance, and one there is no family history spreading disease. And the breakout Lynch Syndrome story is all about inherited and familiar risk. And we always were very interested in offering these products, but really only relate to one in 500 individuals. The big story is to combine that risk, which is inherited risk, with non-inherited risk, and that's the big story because we've never had any diagnostic or predictive tests -- sorry, any predictive tests which were able to accurately identify people with no family history. So, in reality, we couldn't offer one without the other because then there is the possibility of people falling through the cracks. And so, the way we positioned our approach to risk stratification now is 100% risk stratification, meaning all the information that's available for inherited, non-inherited risk is combined together. And there's very few companies that are able to do that successfully. And I think this is going to allow us to stand out in the crowd.
MichaelTonroe: Thank you, George. Its a question for Simon. During the first half for the financial year, you finalized acquisition of ECD&A, and integrated the team and platform. How is this segment of the business performing to date?
Simon Morriss: Yeah, I think -- thank you for that question. If I get back to one of the slides, which was one of the -- I won't go back on the screen now, just too hard to flip back. I think it was slide number 10. I'll just read a couple of the stats. Quarter-on-quarter. So, we had the first full quarter being October, November, December '21, and then we have the second full quarter in the business, which is the January, February, March. Two key statistics which I think -- or three key statistics which I think are really important to understand. Volume of tests are up about 15%, which is a really great result quarter-on-quarter. The value of that to the business is up 9.9%, so round it to 10%.  The average selling price of those tests is still sitting around about $185 to $190 USD, and as part of the DD that we did the mix of those tests, whether it be paternity, prenatal, familial, or if it's animal testing, that mix is largely remaining the same as part of the DD when we bought the business about. So, there's four key metrics that are playing out the way we were expecting and the way we were hoping, and it's growing. But that's not where we stop. As I mentioned before, there are new tests coming on board, there are new markets coming on board, there are new channels coming on board, and the brand refresh, and the website refresh. There's five key parts which focus on those second most important focus area for us as an organization to really drive the growth over the coming now six, 12-, and 18-months’ time. So, what -- we've understood the business, we've grown the business on an incremental basis, and now it's time to accelerate the business and ignite that growth. So that's where we are with regards to our EasyDNA business, and we're excited to work with that team, and more exciting news to follow, of course.
MichaelTonroe: Thank you, Simon. We've had another question from one of our attendees. Just generally about the COVID-19 risks test. Is there a possibility that this could be included in the free tests that are being sent out by the U.S. government? And we been out to give any consideration yet.
Simon Morriss: I can't factually answer that, but we will investigate that as an option. A chance on whether we can or can't do that, but let me take that on notice and see if there's something that we can do. I think where we get the least barriers to entry -- the least bureaucracy, and probably maximum protection for populations, is introducing these with enterprise partners, where they have a really proactive approach to managing the health and the safety and well-being of their employees to make sure that they minimize For the APAC for their employees and getting it in pile.  The enterprise partners, from my perspective, that creates a lower barrier to entry and also gives it to a payer model from the employer as part of that program. So thin become somewhat no charge to the employee itself. So, I think that's a low barrier to entry, but it does. To answer the question that was asked, but it's one of my Huntsville Tyco, not just and we'll see if there was anything more that we can find out about.
MichaelTonroe: Thanks, Simon. So, I think that concludes our Q&A session. Thank you very much, Simon and George. So, we now come to the end of our webcast, but before we conclude, I'd like to advice on and to share some closing remarks. Thanks, Simon.
Simon Morriss: Firstly, thank you, Mike for comparing that. And I know that you are in the UK at the moment. I know that it's nearly midnight. And the time delay on the webcast has been not too bad, so that's good news out. Thank you, George, for joining us early this morning in Melbourne to be able to answer some of the questions. I also love to thank all of the people who jumped on line. We have a great list of people there that logged on today to hear our business update. And we really appreciate those people really taking an interest in our organization. This is a really exciting time for the organization. We have cutting edge, serious disease tests that have been most of physicians that are about to be launched to consumers.  And they will be available to as many people as possible very, very quickly, and it is just game-changing. It focuses on, in the first instance, identifying risk in 50% of mortalities and morbitities annually. And in the next phase, it will up to 70% of mortalities and morbitities annually, and that's really, really important for the future health of the world. Our focus areas that we talked about there about the multi-tests, easy DNA, clinical utility gives an alignment strategy for the organization which drives focus for us to deliver for, not only our patients, for our physicians and for our shareholders. So, it's a really exciting time to be part of this organization. A very exciting time over the next 12 months as we delivered growth and continued growth of all of our tests. But there are some amazing other opportunities and innovations that still exists. Again, I thank everybody to jumping onboard the call today for taking interest in our updates. I thank George, and I thank you, Mike, and I thank everybody for doing it. So, thanks, and now will sign off. Thank you.